Operator: Ladies and gentlemen, thank you for standing by and welcome to the Silicon Motion Technology Corporation Q3 2016 earnings conference call. At this time, all participants are in a listen-only mode. There will be a presentation followed by a question-and-answer session [Operator Instructions]. This conference call contains forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended. Such forward-looking statements include, without limitations, statements regarding trends in the semiconductor industry and our future results of operations, financial conditions and business prospects. Although such statements are based on our own information and information from other sources we believe to be reliable, you should not place undue reliance on them. These statements involve risks and uncertainties and actual market trends and our results may differ materially from those expressed or implied in these forward-looking statements for a variety of reasons. Potential risks and uncertainties include, but are not limited to, continued competitive pressure in the semiconductor industry and the effect of such pressure on prices, unpredictable changes in the technology and consumer demand for multimedia consumer electronics, the state of and any changes in our relationship with our major customers, and changes in political, economic, legal and social conditions in Taiwan. For additional discussion of these risks and uncertainties and other factors, please see the documents we file from time to time with the Securities and Exchange Commission. We assume no obligation to update any forward-looking statements, which apply only as of the date of this conference call. I must advise that this conference call is being recorded today, Friday, 28 October 2016. I would like to hand over the conference to our first speaker today, Mr. Jason Tsai. Thank you. Please go ahead, sir.
Jason Tsai: Thank you and good morning, everyone. Welcome to Silicon Motion’s third quarter 2016 financial results conference call and webcast. My name is Jason Tsai. And with me here is Wallace Kou, our President and CEO, and Riyadh Lai, our Chief Financial Officer. The agenda for today is as follows: Wallace will start with a review of some of our recent business developments. Riyadh will then discuss our third quarter financial results and provide our outlook. And we will then conclude with Q&A. Before we get started, I’d like to remind you of our Safe Harbor policy, which was read at the start of this call. For a comprehensive overview of the risks involved in investing in our securities, please refer to our filings with the US SEC. For more details on our financial results, please refer to our press release which was filed on Form 6-K after the market closed is today. The webcast will be available for replay on our website, www.siliconmotion.com, for a limited time. To enhance investors understanding of our ongoing economic performance, we will discuss non-GAAP information during this call. We use non-GAAP financial measures internally to evaluate and manage our operations. We have, therefore, chosen to provide this information to enable you to perform comparisons of our operating results in a manner similar to how we analyze our own operating results. The reconciliation of the GAAP to non-GAAP financial data can be found in our earnings release issued yesterday. We ask that you review it in conjunction with this call. With that, I will turn the call over to Wallace.
Wallace Kou: Thank you, Jason. Hello, everyone, and thank you for joining our earnings call. This year has been an outstanding year for us and the third quarter is no exception. Revenue increased this quarter by 13% to a record $139 million, our seventh consecutive quarter of revenue growth. Our $135 million revenue is equivalent to 36% a year-over-year growth. Growth was led by our client SSD controllers, eMMC controllers, and SSD solutions. In addition to record sales this quarter, we also delivered record high quarterly EPS of $1.07, our first quarterly EPS over $1. Riyadh will discuss our financial performance in greater detail later on the call. Let me now update everyone on the progress of our key growth drivers, starting with our client SSD controllers, which has become our largest product, with sales now even bigger than our eMMC controllers. Sales of our client SSD controllers increased 25% in the third quarter, our eighth consecutive quarter of sequential client SSD controller growth. For full year 2016, we’re on track to grow our client SSD controller sales by approximately 175%. In the third quarter, our client SSD controller sales to our flash partners was especially strong. These sales increased over 50% sequentially, with our flash partners accounting for well over half of our overall client SSD controller revenue. Sales of SSD controllers to module maker customers, despite facing tight NAND flash supply conditions, also increased sequentially, though more modestly. We are confident our client SSD controller sales will very likely grow further in the fourth quarter, with continued growth led by sales of our flash partners. Our client SSD controller had been growing rapidly for many reasons. Demand for client SSD remains very strong, both with PC OEM and the channel markets. PC OEM are still increasing the adoption of the SSD versus HDD. On the supply side, NAND flash makers are increasing their direct sales of SSD both to PC OEM and into channel markets versus NAND wafer sales to module makers. However, NAND flash makers are also supplying flash to a select group of leading module makers, especially those building SSD for unique distribution channels, all geographic markets incremental to those managed by the NAND flash makers. Most industry analysts believe SSD adoption in notebook PC will increase to at least one third of our notebook in 2016. In addition to notebooks, PC OEM are also building desktop with SSDs, both for mini-PC and for high-end machines. A significant number of power users, gamers and system integrators have been building or upgrading PCs and game console with the SSD already. Client SSDs are also in drones, network attached storage, external portable storage, and non-mission-critical business center applications. Third-party estimate for the size of the client SSD market this year range from 110 million units to 135 million units, which means already 20% to 25% of all client devices are using SSDs. Since the NAND flash prices will continue to fall gradually, we believe that over the next 3 to 5 years, most, if not all, of the remaining 350 million to 400 million client devices still using HDD will be replaced by SSDs. Intel and WD recently launched new client SSD with our controllers. Intel’s 600P SSD is the industry’s first PCIe/NVMe SSD that is affordably positioned at a SATA SSD price point. With superior PCIe/NVMe performance, the client SSD market is beginning to transition from SATA to PCIe/NVMe. Drivers of this transition will include the differential product like the new Intel SSD. For us, this is also the first major product launch that are using our new series of PCIe/NVMe controllers and the first major product managing Intel Micron 3D NAND. Separately, WD recently launched their first set of client SSD following the acquisition of SanDisk. So WD Green SSD is using our new DRAM-less SATA controller that we recently developed for WD. This product is a continuation of our previous DRAM-less SSD controller design work with SanDisk prior to WD’s acquisition, which involves developing controller solutions that do not require expensive DRAM components that deliver performance comparable to SSD that use fast data rate embedded DRAM. We’re entering the fourth quarter of this year with a larger pipeline of client SSD controller design win than last year. Most of these projects are for 3D NAND. Already, our SSD controllers have been designed to support all of the 32, 36 and the 48-layer 3D NAND that are being produced by our flash makers. By middle next year, our SSD controllers will be well in production for managing Hynix, Intel, Micron, SanDisk, Toshiba and even Samsung 3D NAND. No other SSD controller supplier, whether captive or merchant, has this breadth of 3D NAND support and capabilities. All of the NAND Flash makers are in commercial production of 3D NAND. Though other than Samsung, volume from other flash makers is still limited. [indiscernible] of the agreement to manufacture 3D NAND is very expensive. We believe flash makers have been cautious in building capacity as they go through the learning curve on current generation of 3D NAND. They will become a lot more aggressive next year in building capacity for 64 and 72-layer 3D NAND as the economy of this higher layer of current 3D components will be significantly better than standard flash. Furthermore, we believe the economy for producing 32, 36 and 48-layer 3D NAND is then very different from current 16 and 40 nanometer standard NAND. So, the incentive to produce more current generation of 3D NAND may be limited. We believe the industry’s big growth will start accelerating beginning May 2017 when commercial production of 64 and 72-layer 3D NAND increases. Many of our new SSD controller program will start May next year, in line with the ramp of these next generation 3D NAND. We believe NAND supply will grow rapidly in the second half 2017 and scale further in 2018. Most of our pipeline of projects for next year are for PCIe and [indiscernible] () client SSD. We are confident that with the ramp of our new PCIe and NVME projects and the continued market share gains with SATA SSD, all with existing NAND Flash partners, we should be able to comfortably grow our client SSD controller sales at least 20 to 25% next year. On the top of the 175% growth that we are expecting this year. Now, let me turn to our eMMC controllers. Sales of our eMMC controllers grew again in the third quarter as we benefit from peak season demand. Our third quarter year-to-date eMMC controllers sales are over 50% higher than the same period last year. And the strong growth is the result of both our market share gains and expansion of the addressable market. We have been gaining market share because SK Hynix, a primary eMMC customer, has been gaining market share and reporting very strong eMCP sales. We believe our eMMC market share this year has grown to 30% to 35%, up from about 25% last year. The eMMC market has been growing much faster than overall smartphone market because of a large portion of ultra-low cost smartphone and China white box tablets were previously using bare NAND. This product is now transitioning to using eMMC solutions. Looking ahead, segment of the eMMC are gradually transitioning to UFS. Beginning with high-end flash chip smartphones, we are working with several flash partners on UFS controller solution. And as previously communicated, we have already secured design wins with one of the flash partners. Our UFS controller for this partner will go into production in the fourth quarter, which is positioning us well for broader adoption of UFS next year when Mediatek introduced chipset that support UFS. We will be training to our flash partner on UFS controller that is both high performance and cost competitive and will be supporting our flash partner and their smartphone OEM customer with our extensive field engineering resources. We are progressing well and in testing with our primary flash partners for our cost-effective UFS solutions. This solution is designed for UMCP [ph] platform that combine our controller, NAND flash and mobile DRAM into a single BGA package. This will be complementary to the internal solution and will help them to quickly expand UFS adoption to more mainstream devices. Let me now turn to our highly specialized, customized SSD solution, which are Shannon Enterprise SSD and Ferri industrial SSD. This quarter, sales of our SSD solution grew further, led by increasing sales of our leading Chinese BAT Internet customers. [indiscernible] customer design enterprise SSD have been favorably received by our customers. We have been engaged for new projects for delivery next year. Our enterprise SSD are designed for our customers’ requirements relating to performance, capacity, power, latency and other features. We are also seeing very strong growth this year for our Ferri industrial SSD, which primarily target Japanese OEMs for their commercial equipment, including printer system, point-of-sale devices. Our Ferri SSD are industrial grade, single-chip SSD customer design for OEM’s specific requirement. Over the last few years, we have been advocating our large phase Ferri SSD projects that generally have low production cycles. The visibility for our project bookings suggest strong Ferri SSD sales growth next year. Overall, this was an outstanding third quarter for Silicon Motion. We are entering the final quarter of the year with a strong pipeline of client SSD controllers, eMMC and UFS controllers and SSD solution projects, which well position us for further growth in 2017. I will now turn the call over to Riyadh to discuss our financial performance and outlook.
Riyadh Lai : Thank you, Wallace, and hello everyone. First, I will outline our financial results and then provide our guidance. Before I begin, I would like to reiterate that my comments today will focus primarily on our non-GAAP results unless otherwise specifically noted. A reconciliation of our GAAP and non-GAAP data is included with the earnings release issued today. We continue to deliver on sales and earnings growth significantly above semiconductor industry average by focusing on unique market opportunities relating to NAND flash controller technologies. Our business continues to deliver results that can sustain a long-term gross margin of around 50% and gradually move our operating margin towards our 30% target. Wallace has just updated everyone on the progress and prospects of our three big market opportunities line. Client SSD controllers, eMMC and UFS controllers and our highly specialized SSD solutions. This quarter, revenue increased 13% sequentially to $159 million, 66% higher than the same period last year. Our revenue year-to-date is 56% higher than last year. Sales of our embedded storage products, which include our client SSD and eMMC controllers and our industrial and enterprise SSD solutions grew over 15% sequentially and continue to account for about 80% of total revenue. Within our embedded storage products, our client SSD controllers grew 25% sequentially. Our eMMC controllers grew over 15% sequentially. And our SSD solutions grew less than 10% sequentially. Our expandable storage products, our hard and USB flash drive controllers, declined about 10% sequentially due to tightness of Flash availability. This quarter, we had three 10% plus customers – Hynix, another NAND Flash partner, and a China BAT Internet company. Our gross margin increased to 48.9% in Q3 from 48.4% the previous quarter due to sales of a more favorable product mix. Our operating expenses increased 4% to $32 million from $30.9 million in the previous quarter. Most of the increase in operating expenses was R&D related. We ended Q3 with 1,094 employees, 45 more than at the end of the previous quarter. Most of our new hires continue to be R&D engineers. As a result of strong sales growth, stable gross margins and a modest increase in operating expenses, operating margin increased to 28.7% in Q3, a significant improvement from the 26.5% reported in Q2 and 24.5% in the same period last year. Our effective tax rate in Q3 was 16.8%, lower than the 18.5% in Q2. This quarter, we delivered a net income of $38.3 million and earnings per ADS of $1.07. Our earnings per ADS were 24% higher than in the previous quarter and 88% higher than in the same period a year ago. Total stock-based compensation in Q3 was $6.5 million, higher than the $0.5 million in the previous quarter due to the seasonal timing of [indiscernible] (0:02:34) awards. I will now move to our balance sheet and cash flow. Inventory days decreased to 91 days in Q3 from 97 days in Q2. DSO decreased to 38 days in Q3 from 48 days in Q2. Payable days decreased to 49 days in Q3 from 60 days in Q2. Our cash, cash equivalents equivalents and short-term investments increased to $269 million in Q3 from $219 million in Q2. Primary sources of cash in Q3 came from $38.3 million in net earnings, $15.1 million from net working capital, $10 million of bank loans net of restricted deposits. Primary use of cash in Q3 included $2.8 million for routine purchases of software and design tools, $5.3 million of quarterly dividend payments. We continue to generate strong cash flow. And as Wallace had just talked about, we feel pretty good about our sales visibility for next year because of our pipeline of projects that we have built so far that will generate sales next year. As a result, this week, we announced our new annual dividend of $0.80 per ADS to be paid in quarterly installments. This is a 33% increase from the $0.60 declared last year. I would like to highlight that we recently borrowed $35 million from two banks. While we continue to operate a business that generates a very strong free cash flow and has not in the past needed external financing and continue to be able to finance our operations from internally generated cash flow, we had determined that the current very low cost of bank loans is comparable to the cost of using our own internal funds. For intercompany loans, we need to account for unnecessary tax payment to government authorities on interest income and the cost of documentation and transfer pricing studies. We expect our strong operating cash flow to repay the loan within 12 months. I will now turn to our guidance. Consistent with the expectations that we had communicated during our last earnings call, for Q4, we're expecting revenue to decline 9% to 14% sequentially, which is equivalent to an increase of 39% to 47% when compared to the same period last year. Based on our expectations for Q4, for full year 2016, revenue should grow 52% to 54% to somewhere in the $548 million to $556 million. Our Q4 sales will include the following key drivers. We expect our client SSD controllers to continue growing sequentially as we ramp our new PCIe SSD controllers. For the full year, our client SSD controller sales will now grow approximately 175% from the 60-plus million last year. Next year, you should expect our client SSD controllers to grow at least 20% to 25%. We expect our eMMC controllers sales to be stable in Q4, better than past seasonality patterns due to continued market share gains. For the full year, our eMMC controllers sales will grow approximately 50%. Next year, you should expect our eMMC and UFS controllers to grow at least in line with overall smartphone growth of 5%, a more sustainable long-term growth rate. EMMC and UFS will remain a high priority project of our flash partners. We expect sales of SSD solutions to decline sequentially in Q4 because of project timing. For the full year, our SSD solution sales should be more than triple. Next year, you should expect our SSD solutions to grow more moderately in the 15% to 20% range. We expect sales of our expandable storage products to decline in Q4, as flash partners continue to impact module makers’ ability to procure flash components. While we do not have good visibility on our card and USB flash drives, sales of these products will likely be decline again next year as these products had been in secular decline for a number of years and are not a high priority market for the NAND Flash makers. In Q4, we expect our gross margin to be in the 48.5% to 50.5% range. We expect Q4 operating margin to decline 25% to – decline to 25% to 27%, but meaningfully higher than the 24% in the same period last year. Lower operating margin in Q4 is primarily due to lower revenue. The impact from slightly higher gross margin and stable operating expenses are less material. For the full year, our operating margin should be roughly 27%, much higher than the 24% in 2015. Stock-based compensation in Q4 in our GAAP operating expense is expected to be $10.9 million to $8.3 million, higher than the $6.3 million in Q3 due to the seasonal timing of RSU awards. Our RSU awards are generally granted in the second half of every year. Our model tax rate remains at 18%. We will now open the call for a few questions.
Operator: [Operator Instructions] Our first question comes from the line of Mehdi Hosseini from SIG. Please go ahead.
Mehdi Hosseini: Yes. Thanks for taking my question. Just on your commentary on client SSD, it seems like you can grow revenues on a flattish – sequentially be flattish and you still hit the 20%. And I just want to make sure I understand the dynamics that are driving client SSD. I’m assuming that you will be shipping to multiple flash vendors, also continue to increase direct sale to year-end. These are assumptions. And to that extent, when – what would be the dynamics that will drive the market growth above 25%? So just to summarize, what are the key drivers that gives you confidence that, at the worst case, client SSD will be flattish on a sequential basis and the dynamics that would drive the client SSD growth about 25%? Then I have a follow-up.
Wallace Kou: I think our current SSD design pipeline from both SATA and the PCIe, we have the confidence to grow. Although we might see tight NAND supply in the first half of next year because the majority of design is from the NAND maker partners. So we have confidence through their forecasts and penetration with the PC OEM as well as the channel market. And we believe we should be able to grow 20% from this year.
Mehdi Hosseini: So during your bookings and your relationship, you’re confident that 20% is the worst case scenario? How we should think about the 20% minimum growth driver?
Wallace Kou: That’s correct. From client SSD controller.
Mehdi Hosseini: Okay. And then, you talked about that your operating margin target of 30%, is this going to be a multi-year target because you’re going to continue to invest in your enterprise SSD or is that target going to be hit sooner than later?
Riyadh Lai: Mehdi, that is correct. This is – improving our operating margin is and will continue to be a multiple year project. Over the last few years, we've been improving our operating margin. Last year, our operating margin was roughly 24%. This year, we will probably finish this year around 27%. And, over time, as we continue to scale our revenue and keep our gross margins fairly stable and grow our operating expense at a lower rate compared to revenue, we should continue to be able to deliver on that improvement in operating margin towards our 30% target.
Mehdi Hosseini: Thank you.
Operator: Our next question comes from the line of Anthony Stoss of Craig-Hallum. Please go ahead.
Anthony Stoss: Hi, guys. Two-part question. First off, did I hear correctly, Wallace, that you expect Samsung to come on as a new customer in the SSD side in the middle of 2017? And then, Riyadh, if you won’t mind just talking about your OpEx thoughts kind of going forward throughout 2017?
Wallace Kou: First of all, we did not mention that Samsung will become our SSD customer. We said we are able to support all NAND flash makers, 3D NAND, for the SSD solutions. And we cannot comment – any NAND maker who is going to sell their 3D NAND to channel or module maker or OEM customer, we’re ready to support them.
Riyadh Lai: Let me also add to what Wallace just said. What Wallace had mentioned in his prepared remarks is that by mid next year, our SSD controllers will be in volume production for managing Hynix, Intel, Micron, SanDisk, Toshiba and even Samsung 3D NAND.
Anthony Stoss: Then on the OpEx question, Riyadh?
Riyadh Lai: Can you refresh your OpEx question again? I’m sorry.
Anthony Stoss: Maybe a little bit more detail regarding the – what you expect on OpEx next year. I know you expect revenues to grow faster, but any more help on OpEx would be appreciated.
Riyadh Lai: Yeah. We will continue to build our operating infrastructure as we have a lot of projects related to all of our growth opportunity related to client SSD, relating to eMMC and UFS controllers, relating to our Shannon and Ferri SSD solutions and also [indiscernible] going into the enterprise SSD solutions. So, we will continue to be growing our operating expense. So, you should be expecting our operating [indiscernible] continue to invest in R&D and to grow our operating expense gradually in order to meet the demands of our customers. But we will be increasing at a slower rate compared to revenue.
Anthony Stoss: Great. Thank you.
Operator: Our next question comes from the line of Charlie Chan of Morgan Stanley. Please go ahead.
Charlie Chan: Thanks for taking my question. And congratulations for great results. So, first of all, you have start to ship the PCIe [indiscernible]. So, what is that for? Is that for client SSD or mainly for enterprise SSD?
Wallace Kou: The product primarily for client SSD, both channel as well as PC OEM, but I think our customer may also for very low cost cloud, hyperscale SSD solutions.
Charlie Chan: Okay. And, Wallace, can you give us some sense of how the PCIe penetration in client SSD and enterprise SSD today and maybe next year?
Wallace Kou: I think that everybody know Intel and Samsung are really pushing PCIe and become from premium line – they would like to try to become mainstream. However, I think the momentum is growing for clients. I think next year, [indiscernible] penetration rate will be probably at least 10% or 20% bigger than this year. However, I think for enterprise side, primary solution is through SATA. The PCIe is the main factor to drive for the cloud, for cloud SSD. And we do see all the new design in the cloud side, the PCIe, NVME solution. So, that becomes standard. And that’s why all the NAND – all the flash maker shipping more NAND to enterprise and cloud side because it have a more profit in the area. But PCIe eventually, we think – and not just the [indiscernible] eventually we’re going to see BGA PCIe solution come to the market within one or two years.
Charlie Chan: Okay. So, for your company, what would be the PCIe product mix next year? And would that improve your blended ASP?
Wallace Kou: I think next year, our primary shipment, SATA still is bigger than PCIe. However, PCIe momentum is growing. And we see more demand for PCIe from PC OEM as well as all other applications. So, I think the PCIe eventually will become our major growth driver in the next few years.
Charlie Chan: Okay, thanks. So, my next question is regarding your module business outlook into 2017. I know this year you have some one-time, like, rolling of procurement. So, these could not be the normal revenue scale. So, for 2017, this should mean no more sort of one-time procurements what would be the revenue size for both enterprise SSD and Ferri industrial SSD.
Riyadh Lai: Charlie, on this question you’re actually right. Our SSD solution this year is turbocharged, if you will, related to the inclusion of the NAND component into our cost of sales. And so, as a result, our SSD solutions revenue grew rapidly. We’re going to be growing our SSD solution this year in the tune of 3x compared to what we had last year. Last year, our SSD solution delivered revenue about $25 million. So, going into next year, we expect – because of the turbocharged nature of our SSD solution this year, we're expecting more moderate rate of growth for these sort of products. Moderate rate of around 15% to 20% for next year.
Charlie Chan: 15% to 20% year-on-year.
Riyadh Lai: That’s right. Year-on-year.
Charlie Chan: Okay. And yeah – okay. And lastly, on your 28 nanometer products, when would you start to recognize the [indiscernible] cost because the R&D [indiscernible] in the second half. Or that [indiscernible] costs would happen in 2017. And when will you start to ship the 28 nanometer product?
Wallace Kou: We believe our 28 nanometer product is the end – our UFS will be shipping by middle of next year or second half next year.
Charlie Chan: Okay. So, will the [indiscernible] cost reflect this year’s earning or next year?
Wallace Kou: The [indiscernible] will be reflected this year. It’s in Q3 and in Q4.
Charlie Chan: Okay, got it. And let’s see, if I may, for UFS, what would be the ASP difference versus the eMMC?
Wallace Kou: I apologize. We cannot comment on the price. But definitely UFS has a higher performance and a more sophisticated design and [indiscernible] much bigger than eMMC. So, ASP will be higher.
Unidentified Analyst: Okay. Okay, got it. Okay, thank you very much.
Operator: Our next question comes from the line of Rajvindra Gill of Needham & Company. Please go ahead.
Rajvindra Gill: Yeah, thanks for taking my questions and congrats on good results. Question on the UFS adoption next year. Can you maybe talk a little about the transition to UFS across the handset OEMs? How fast do you think that transition is happening? And what do you think the main growth drivers or catalyst for UFS adoption and how do you think you’re positioned competitively versus, say, internal solutions that are out there?
Wallace Kou: It’s a very good question. I think from our position, for 2016, this year, in the first half, the momentum for UFS adoption. However, go to the second half, it’s slowing down because primary – the smartphone adopter is Samsung. We do see there five or six other smartphone maker, but there only is one model, use small volume for UFS. But there are clients like Huawei, they really like to wait for [indiscernible] performance benefit from UFS. And many others and smartphone makers waiting for Mediatek, their new solution which can support UFS next year. And we believe, for UFS, if we become – want to become the mainstream product in mobile, it had to be UMCP [indiscernible] UFS controller and mobile DRAM and NAND to getting single BGA package. And this trend probably won’t be able to happen until late 2017 or 2018 timeframe.
Rajvindra Gill: Okay, thank you. That’s helpful. And, Wallace, you mentioned the client SSD penetration rates, some numbers. In terms of the notebook PC market, if I recall, you said one third of the market is SSDs. And then you’re also seeing growing traction in desktop PC SSDs as well. Can you maybe talk a little bit about how your market share or your competitive position is in the notebook PC and desktop PC? The attach rates are accelerating. Your market share is fairly good at a lot of the Flash OEMs outside of Samsung, which does internally. How do you look at the market share dynamics going into next year as the attach rates accelerate further? Can you talk a little bit about how you’re positioned to continue to grow that business relative to, say, Marvell or even other competitors?
Wallace Kou: Okay. I think it’s a very big question. [indiscernible] regarding our statement, yes, so we believe the notebook [indiscernible] is being adopted, SSD as of today. Of course, commercial notebook have a higher percentage than consumer product line for notebook. Regarding the desktop, [indiscernible] mini PC, also the gaming PC. The gaming PC user try to adopt SSD because they’re much faster playing the game. But normally they use a [indiscernible] HDD for data storage, for the SSD the gaming playing, so achieve high performance. We also observe the channel and CC shop and do-it-yourself PC [indiscernible] adopt SSD instead of HDD. Regarding the overall market, as you know, NAND supply today is tight. So NAND maker try to maximize the profit for every bit they can produce for the NAND. So from that angle, some major NAND maker has shift the NAND, more SSD solution into enterprise data center. So, I think Samsung, they aggressively transitioned from client SSD into enterprise SSD. So, we see that’s a tremendous opportunity for SIMO to grow and to work with other NAND maker and another module maker to fulfill this spot. And we believe our sort of turnkey solution can help out the NAND maker quickly enter into the market with the new generation 3D NAND. This is an advantage we have and we have a good track record compared with Marvell or other SSD controller competitor. And today, I think we are well known by all the PC makers and all the NAND makers and we have our products consistent and cost effective with a very decent performance. And we continue to put R&D investment in the new technologies, especially in the 3D NAND, either fresher algorithms, special rate designs, and to maintain high retention and better quality and can put more value to consumer end user. Thus, we believe we have very good and bright position in this client SSD market and we’ll work with all the major NAND maker and continue to grow the market.
Charlie Chan: And thank you for that. And just last question from me, on eMMC, you had mentioned that year-to-date it's up 50% year-over-year and you’re expecting the growth rate next year to grow in line with the market at 5%. That’s kind of the minimum case. Can you talk about some of the reasons why that growth rate might be higher next year and why was the growth rate so high this year? You mentioned market share gains with your customer, SK Hynix. Do you foresee more market share gains with your customer? Are you diversifying your eMMC customer base, which could potentially add more growth next year as well? Just wondering if you could talk about some of the potential upside catalyst to that 5% number next year, given the fact you grew 50%.
Wallace Kou: So, let’s look at what happened this year, why we gained market share quickly and grow very fast with eMMC controller. This year, I think there are two major factor factors and because everybody knows smartphones only grow single digit, 3% to 5%. And why eMMC can grow, it’s almost 40 – 30% this year because China subsidized the 3G phone to 4G – low-cost 4G phone. So, that’s why – the 3G phone normally uses raw NAND, bare NAND and go to 4G phone they adopt eMMC or eMCP. That's why the demand, about 200 million units in transition this year from 3G to 4G. That’s created a strong demand for eMCP. And the reason, I think – I cannot see with the – our customers, but I think normally eMCP with a mobile DRAM that have a better profit than pure NAND solutions in other areas. That’s why our major customers prefer to grow eMCP, allocate more NAND into eMCP solutions to gain the market. This way, financially, we do gain market quickly in 2016. For 2017, next year, because of this transition from 3G to 4G, it’s done. So, the smartphone itself, we are going to continue grow in line with the market. However, eMMC solution is a JEDEC standard. They’re being expanded to other areas such as set-top box and smart TV and car navigation systems. So, I think we’re going to grow potentially upside [indiscernible] other non-smartphone area. And there is also UFS. We can also grow UFS the part of a smartphone. So, we believe we will be in line – [indiscernible] in line with the smartphone market growth and potential upside [indiscernible] other segments, other application areas.
Rajvindra Gill: Thank you, Wallace.
Operator: Our next question comes from the line of Mike Burton of Brean Capital. Please go ahead.
Mike Burton: Thanks. And congrats on the strong results. A two-parter on mobile storage. What does typical Q4 look like for this segment. You’ve had a couple of years recently where I believe that business declined 20% plus. Is that typical in your expectation for this quarter? and then second year a lot of questions from investors concern about the tightness in the tiny handset OEMs as a precursor for an inventory correction, are you seeing any of that in Q4 or do you think we should be thinking about Q1 in 2017?
Wallace Kou: I think the – for this Q4 mobile solutions – mobile controller for eMMC still maintain strong. It could be similar range like a Q3. But we do not see the over inventory ni the channel and we do not see double booking at least from our customers and from what we can reach assets from the smartphone makers.
Mike Burton: Okay. Okay. And then, regarding Hynix, you mentioned in your comments, making progress on eMMC pay packages with them. Just wondering if there's any change in the timing of when you had expected your ramps in UFS for next year. I believe you had talked about your first customer being in the first half and then your second – your largest customer in the second half. Is that still kind of the timing for next year?
Wallace Kou: And that's why we believe it’s a target we’re looking for.
Riyadh Lai: You’re correct, Mike.
Mike Burton: Thanks.
Operator: Our next question comes from the line of Suji Desilva of ROTH Capital. Please go ahead.
Suji Desilva: Hi, Wallace. Hi, Riyadh. Congrats on the strong results here. On the hyperscale side, trying to understand the customer base. Do you have really one or two large customers that are driving the bulk of the revenues there or have you diversified the exposure there to several customers to understand that segment?
Riyadh Lai: Suji, we have a lot of customers, but our customer concentration – our customers are, in fact, quite concentrated with one particular customer, and this is one of the big BAT Internet companies out of China.
Suji Desilva: Is there prospect there, Riyadh, for more customers to join into that, along with the one you have now?
Riyadh Lai: We’re working on that. But so far, our visibility going into next year stands with just this one customer.
Suji Desilva: Fair enough there. And then on UFS, I know a lot of questions have been asked, but just to understand how many partners/customers do you think you’ll be ramping with in 2017 just to understand the breadth of your penetration there.
Riyadh Lai: As we’ve mentioned in our prepared remarks, we have one NAND flash vendor which we are going to be going into production now for the end of the year and we have another one that we’re working with that’s more going live sometime mid next year.
Suji Desilva: Okay, great. And then last question, what is going on with the ASPs in the SSD market. I know they were around $5. So, what are the trends you’re seeing as you see that segment and the mix between enterprise and clients?
Riyadh Lai: We’re not going to comment specifically about the actually ASPs of our products – our controller products, given that we don’t have too many customers and for competitive reason we’re not going to be going into that level of detail. But as a benchmark, our ASPs for these products are very roughly $5.
Suji Desilva: Okay, great. Thanks, guys.
Operator: Our next question comes from the line of Jaeson Schmidt of Lake Street Capital. Please go ahead.
Jaeson Schmidt: Hey, guys. Thanks for taking my questions. Most have been asked already. But just curious, I know visibility is cloudy on the core business, that USB and card side. But is a 10% annual decline going forward kind of a good base case?
Riyadh Lai: Yeah, it is. Given that we don't have much visibility into this segment of our business, with buildings quite murky. An annual decline of in the teens – of at least 10% is probably a good estimate.
Jaeson Schmidt: Okay. And then the tax rate in 2017, is that Q4 rate a good number to use?
Riyadh Lai: You should stick with our model tax rate. Our long-term model tax rate is 18%.
Jaeson Schmidt: All right. Thanks, a lot, guys.
Operator: Our next question comes from the line of Mike Crawford of B. Riley & Co.
Mike Crawford: Thanks. B. Riley & Co. Regarding this new fast manufacturing Yangtze River Storage Technology, what, if any, support resources do you expect to apply to this entity?
Wallace Kou: We cannot comment too much. I think the government in China, with China play, they have – they’re really recruiting more people in the – looking for the strategic partner and the potential license of technology. But we keep us strong relation with them. They do have a NAND coming within three years, we will support them. And so, I think the – everybody understand the challenging, but overall I think the – more flash is better for us. And we have a broader market to play.
Mike Crawford: Okay. Thanks, Wallace. And then just to be clear on eMMC, UFS, if you look out a period of time, whether it’s two years, three years versus today, when I believe almost of your eMMC controllers revenue was coming just from Hynix. Do you expect – what kind of mix would you targeting for other flash partners to be part of that eMMC/UFS business for you?
Wallace Kou: I think that, today, for eMMC, primarily comes from one NAND maker. We also have two to three module maker start growing in China – China area. We believe they’re about 10% of our current revenue, but we’re seeing the continued growth in the next few years. In addition, for UFS, we engaged with the two NAND makers. One will be in production in Q1 and the other is our primary flash partner for mobile that probably will be in production in the second half next year. However, for the mobile space, it is done yet both for eMMC and UFS. And there’s high possibility that PCIe one day will move to mobile space. If you look at Apple today, they use PCIe based solution for iPhone. And if a PCIe will become really the mobile solution, we think we will have a broader opportunity to engage multiple NAND maker for mobile applications. That’s how we play.
Mike Crawford: Okay, thank you.
Operator: Our last question comes from the line of Tom Sepenzis of Northland. Please go ahead.
Tom Sepenzis: Yeah. I’m just curious. I know that the cost of the debt is really low, but is there any specific thing that you’ve earmarked that money for? Is that just to hire more people or are you looking at potential acquisitions? What will be the use of that cash?
Riyadh Lai: We have a lot of operating entities in many different jurisdictions. Some of our operating entities are making a lot of – making some cash flows, while others are not. So, in certain places, we may need to bring cash into the entity that require investments. And, generally, in the past, we’ve been using internally generated cash flow for this. But this time around, given the very low cost financing environment, we determined that the use of external financing is comparable to the use of our own internal funds, especially when it's treated as a intercompany loan where you have to arrange it at arm’s length basis. You have to account for interest income and income is then taxable. So when you factor in all these expenses, plus the transfer pricing studies and the documentation, it works out that the use of very cheap bank loans – the cost of these bank loans are comparable to the arm’s length cost, plus all the other related costs that we need to build into it. The two costs are quite comparable.
Tom Sepenzis: Great, thank you. And then I was wondering if you could just provide us specifically on the Shannon business in terms of customer wins, just number or who and what type of picture are you seeing in the Chinese market for that.
Riyadh Lai: We have quite a lot of customers, though, our customer base is concentrated at one large customer accounting for a big majority – a large majority of our total sales at Shannon. And this one customer is one of the BAT Internet companies out of China.
Tom Sepenzis: Great, thank you very much.
Operator: There are no further questions at this time. I’d like to hand the conference back to our presenters. Please continue.
Wallace Kou: I would like to thank all of you for joining us today and your continuing interest in Silicon Motion. We will be at the following conference in this quarter: Needham Next-Gen Storage/Networking Conference in New York; Bernstein Technology Innovation Summit in New York; Mizuho Investor Conference in New York; J.P. Morgan Investor Conference in Hong Kong; UBS Global Technology Conference in San Francisco; Morgan Stanley Investor Conference in Singapore; Bank of New York and Jefferies ADR conference in New York; Credit Suisse US Technology Conference in Phoenix. Detail of this event will be available on our website. Thank you and goodbye for now.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may all disconnect.